Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Banco Macro's 4Q '15 Earnings Conference Call. We would like to inform you that the 4Q '15 press release is available to download at the Investor Relations website of Banco Macro www.ri-macro.com.ar. Also, this event is being recorded and all participants will be in a listen only mode during the Company's presentation. After the Company's remarks are completed, there will be a question-and-answer session. At that time further instructions will be given. [Operator Instructions] It is now my pleasure to introduce our speakers. Joining us from Argentina are Mr. Jorge Pablo Brito, Member of the Executive Committee; Mr. Guillermo Goldberg, Commercial Deputy General Manager; and Mr. Jorge Scarinci, Finance and IR Manager; and other members of the Bank's management team too. Now I would like to turn the conference over to Ms. Jorge Scarinci, Finance and IR Manager. You may begin the conference, sir.
Jorge Scarinci: Good morning, and welcome to Banco Macro fourth quarter 2015 conference call. Any comments we may make today may include forward-looking statements which are subject to various conditions and these are outlined in our 20-F which was filed to the SEC and is available at our website. Fourth quarter 2015 press release was distributed yesterday and it is also available at our website. Banco Macro is one of the leading private banks in Argentina with a strong presence in the interior of the country and a branch network of 439 branches. Even though we are a universal bank, we focus on low to middle income individuals and SMEs. Banco Macro is a financial agent of four provinces in Argentina: Salta, Jujuy, Misiones and Tucuman. I will now briefly comment on the Bank’s fourth quarter 2015 financial results. Banco Macro’s net income for the quarter was Ps.2 billion or 242% higher than the Ps.575 million one year ago based on a significant increase in net financial income. The Bank’s accumulated fourth quarter 2015 return on equity and return on assets of 37.2% and 5.8% respectively remains healthy and shows the Bank’s earnings potential. On a fiscal year basis, Banco Marco earned Ps.5 billion is 2015 or 44% higher than the Ps.3.5 billion earned in 2014. In the quarter, net financial income totaled Ps.3.7 billion or 107% higher than the Ps.1.8 billion registered one year ago. This performance can be traced to a 79% year-on-year increase in financial income and 50% year-on-year increase in financial expenses. Within financial income, interest on loans rose 42% year-on-year due to a 41% growth in the average private loan portfolio with a 30 basis point increase in the average private sector lending interest rates. In the fourth quarter 2015, interest on loans represented 69% of total financial income. On the other hand, net income from government and private securities represented 23% of total financial income and jumped 291% year-on-year, due to an increase in market price mainly in our private [ph] loan portfolio. Meanwhile, within financial expenses, interest on deposits grew 52% year-on-year due to a 36% increase in the average volume of interest bearing deposits and a 310 basis point increase in the average time deposit interest rates. Excluding FX gains, the former combined effects resulted in an increase of the Bank’s net interest margin from 15.7% as of the fourth quarter 2014 to 18% as of the fourth quarter of 2015. As we also excluded bond gains and warranty loans excluding inflation adjustments on the calculation, the Bank’s net interest margin would have widen a 415.7% from last year’s level of 14.9%. The Bank’s net fee income grew 34% year-on-year with a 44% increase on debit and credit card fees and of 33% increase on fees charges on the deposit accounts. Administrative expenses grew 28% year-on-year, mainly due to an increase in personnel expenses, primarily higher salaries, and higher other operating expenses. The increase in personnel expenses can be trade to salary increase agreed with the unions back in 2015. The accumulated efficiency ratio reached 46.1% improving from 47.7% posted one year ago, as a result of our 31% increase in administrative expenses and 36% increase on net financial income plus net fee income in 2015 compared to 2014. 2015 Macro’s effective income tax rate was 33.2% compared to 36.1% registered one year ago. In terms of loan growth, the Bank’s financing to the private sector grew 11% quarter-on-quarter. On a yearly basis, the Bank's financing to the private sector grew 42% among with commercial loans for the productive investments have been included. On the funding side, total deposit grew 10% quarter-on-quarter and 40% year-on-year. Private sector deposits grew 14% on a quarterly basis, while public sector deposit decreased 10%. As of December 2015, Banco Macro’s transactional account represented approximately 47% of total deposits and therefore the Bank’s average cost of funds was 10%. In terms of asset quality, Banco Macro’s non-performing to total financing ratio reached 1.52% improving from last year's level of 1.92%. And the coverage ratio reached 151.04%. In terms of capitalization, Banco Macro accounted an excess of capital of Ps.6.9 billion, which represented a capitalization ratio of 20.8%. The Bank’s aim is to make the best use of this excess capital. The Bank’s liquidity remained appropriate. Liquid assets to total deposit ratio reached 38.4%. So overall, we have accounted for another good quarter. We continued showing a solid financial position. Asset quality is under control and closely monitored. We keep on working to improve more our efficiency standards. We have one of the cleanest balance sheets in Argentina’s banking sector and we keep a well optimized deposit base. So at this time operator, we would like to take the questions that people may have. Thanks.
Operator: Certainly. At this time, we are going to open it up for question and answers. [Operator Instructions] The first question comes today from Federico Rey with Raymond James. Please go ahead.
Federico Rey Marino: Hi Jorge, thank you for the call. And we saw an impressive increase in the acceleration in loan growth during the fourth quarter. I would like to understand what’s going on, if the back became more aggressive in term of origination or if you saw a higher demand of credit? Thank you.
Jorge Scarinci: Federico, basically there was - the demand was similar in the third quarter. The point is that we were like accounting more loans in the fourth quarter compared to the third quarter, but basically was an accounting difference. But the demand was similar and we are seeing in this fourth quarter of 2015 I would say slightly sluggish loan demand, but the fourth quarter compared to the third quarter was seemed, there was only accounting timing in there. But in terms of aggressiveness, we continue to supply all the demand that we can have and we can tackle.
Federico Rey Marino: Okay. In that respect, what’s your loan growth estimate approximately for this year? Is closer to 30 to 35?
Jorge Scarinci: We’re working on with our budget, the season will be growing around 30% and we are working with a loan growth estimate in the mid - between mid and high-30s.
Federico Rey Marino: Okay, thanks you very much.
Jorge Scarinci: Welcome.
Operator: The next question is from Santiago Ruiz with TPCG. Please go ahead.
Unidentified Analyst: Hello. [indiscernible] from TPCG. Jorge, regarding costs, what is your estimate of salary increases for this year? And also let to know if there any plan in opening new branches this year? Thank you.
Jorge Scarinci: Hi, how are you? As far as increases that was happening in short time according to the negotiations between the years and the Bank’s chambers. We think that that will be in the high 20s, so that is with the number where we are working with expenses increase in 2016. And in terms of opening branches, there will be some marginally opening and close. So in terms of the total number of branches, we are not seeing big changes in 2016. So we’ll be close to that 440.
Unidentified Analyst: Thank you.
Jorge Scarinci: Welcome.
Operator: [Operator Instructions] Our next question comes from Catalina Araya with JPMorgan. Please go ahead.
Catalina Araya: Hi, Jorge, thank you for taking my question. I just want to get a sense of net interest income in 2016 because the fourth quarter was generally benefited from securities and FX gain, so I want to get, what would be a normalized, one, what’s the normalized range for securities; and then second, going forward and also how do you see your margins evolve in 2016? That’s my first question. And then just a follow-up on cost, you mentioned that you expect salary increase around in the high 20s, would cost growth be also in the high 20s or you see it above 30%? Thank you.
Jorge Scarinci: Hi Catalina. First, your second question, we’re seeing total expense is growing in the high 20s, for the moment we are not seeing that surpassing 30% and so that is a budget that we are working with. In terms of your first quarter, what we are seeing for 2016 is margins being relative stable. What we could see some slow down or some decrease in nominally it is right maybe in the second half of the year, but we will see deposit rates going down hanging on maybe with some loans rates going down. So in that case, you will see margins relatively stabling and now reaching 2016 compared to 2015. In terms of the income that we might have in terms of our private securities portfolio and bond portfolio, that is something that’s in terms of our equity portfolio something that we are going to keep, so that will depends on market prices. For the moment in this as far as in the first quarter, we are having another positive quarter in that sense not that positive as in the fourth one but it is positive. And also the bond portfolio as have this is a small portfolio, we have maybe a slightly higher portfolio in terms of certain bank did that that is very term only two months maturity and that is where we look at exact liquidity. And that portfolio maybe in the future again also in the second half maybe yielding rates below what we saw in the fourth quarter mainly in December and maybe in the first half of this year. But we are going to have in 2016 stable margins. And in terms of net interest income, we are seeing that increasing in the area of 20%-25% nominal at least.
Catalina Araya: Okay, thank you so much.
Jorge Scarinci: You’re welcome.
Operator: The next question is from Alejandra Aranda with Itau.
Alejandra Aranda: Hi, good morning, Jorge. Just two questions if I may. First, could you tell us what are you viewing in terms of your deposits and composition, I saw the time deposits increased quite a lot in the fourth Q, what were you seeing going forward, we should expect time deposits to keep on waiting more over your total deposit rates? And then in terms of your NPLs, what are you viewing for next year, are you seeing a slight deterioration or should we be more worried? Thank you.
Jorge Scarinci: Hi, Alejandra. In terms of deposit, we are seeing, our deposit base grow in the year of 32% in 2016 and the composition is, yes, we are seeing slightly a higher but it’s based on - of time deposits compared to transactional accounts, but basically the increase is going to 60% and 40% respectively. You have to take into account that when you look at the average cost of funds as I mentioned in the conference call also we put out aggressive leases is 10%. So the increase that you might have in the average cost of fund is meaningless in that sense. In terms of your second question NPLs, we posted an improvement in terms of NPL to the level of 1.5. That number maybe could slightly deteriorate in the area of 2%, but basically we are not worry about that. This is going to be a transition year for Argentina maybe GDP is going to be 0% of increasing the area of below 1%. But in terms of NPL, we are not worried. We have a good level courage with provisions. And I mean the deteriorations could be in the area of 2%, but nothing to worry about.
Alejandra Aranda: Okay, thank you.
Jorge Scarinci: Welcome.
Operator: Our next question is from Russell Abrams with Titan Capital Group. Please go ahead.
Russell Abrams: Yes. I wanted to know, do you have any estimates on targets about loan growth could be in deposit growth, dollar account become allowed again?
Jorge Scarinci: Hi, how are you?
Russell Abrams: Fine, thank you.
Jorge Scarinci: Basically loan growth what we are seeing is you know that almost 95% of our business on our balance sheet is in pesos. So we are seeing in 2016 no big increase in terms of deposit in dollars or loans in dollar, basically that is going to remain with a nominal increase in the area between 5% and 10% much lower than increase that we are foreseeing for better denominated long term deposits. Is that okay?
Russell Abrams: Yes. Is this something you want to be increasing those since you know the borrowing rates are so much lower?
Jorge Scarinci: Basically we are going to increase our deposits if we are seeing demand in loans, if no there is no case to increase the deposit rates in dollar. So we are going to track and have a close eye in terms of the loan demand in U.S. dollars.
Russell Abrams: Okay, thank you very much.
Jorge Scarinci: Welcome.
Operator: [Operator Instructions] We have a follow-up question from Federico Rey with Raymond James. Please go ahead.
Federico Rey Marino: Thanks. Jorge, could you give us some idea or some clue, I mean cash deal and sale split into make a proposal to the Shareholders Meeting, any idea of that?
Jorge Scarinci: Thanks Federico. I was waiting for that question. So yeah, the board is still calculating and having conversation with the Central Bank in terms of the proposal of the cash dividend because consider that we are going to consider the dividend we could not distribute in the formal years and also they want that correspond to 2015. So the final number is still not define yet, but that is going to happen in the near future. So when that happens, we are going to make a public announcement with that also the Shareholders Meeting is going to take place late April, so like at least 20 or 30 more days to see that number coming up.
Federico Rey Marino: Okay, thank you.
Operator: There are no further questions at this time. This concludes the question-and-answer session. I would now like to turn the call back to Mr. Jorge Scarinci for final considerations.
Jorge Scarinci: Okay, thank you all for your interest in Banco Macro. We appreciate your time and look forward to speaking with you again soon. Thanks. Have a good day.
Operator: Thank you, sir. The conference is now concluded. Thank you for attending. You may now disconnect.